Andre Lofgren : Hi, everyone. This is Andre Lofgren, Senior Vice President, Investor Relations speaking and I would like to welcome you to the presentation of Skanska's Nine Month Report for 2020. The presentation will be held by CEO, Anders Danielsson; and also CFO, Magnus Persson. After the presentation, you will be able to ask questions and we will get back to that.  So please, Anders. Go ahead. 
Anders Danielsson : Thank you, Andre. And before we go into the highlights of the report here, I want you to look at this picture. You can see one of our Commercial Development projects called Citygate. It's a high-rise building to the right, which is located in the City of Gothenburg.  So let's go into the nine months report for 2020. This is a strong report. We have overall solid performance. We can see improvement also in Construction stream. We have picked up pretty good in the residential development. Volumes are strong and profitability is solid. And the Commercial Development transaction, even though we have a low volume in the quarters, isolated quarter, we have seen during the nine months good profitability levels.  Having said that, we have also seen during the pandemic that the leasing is challenging. The – a lot of tenants are hesitating even though we have some - seen some pickup in the activity in the later part of Q3. Return on equity is slightly below our target of 18% on a rolling twelve month basis. We have a very strong cash flow and a continuing very strong financial position. And as you recall, we distributed the dividends to the shareholder in October.  So, let's go into the Construction stream. Revenue has decreased with 8% in local currencies for the first nine months. We could see that order bookings have increased, compared to the same period last year. So we have a book-to-build of 107% on a rolling twelve months basis. The order backlog is on a good level, SEK 183 billion.  We saw also Construction income of SEK 2.4 billion for nine months and operating margin of 2.3%, same percentage as last year for the same period. What we have seen though, in Q3 is continuing improved profitability. So we have in Q3 isolated 3%, compared to 2.8% last year. It is lower volumes, which has different causes.  One of them is of course, the COVID-19 disruption that we have seen now in Q2 and easing up somewhat in Q3. We can also see that clients are postponing ramp up of new projects. We also see that we – as a result from our earlier strategic action, to be more selective in order to improve profitability. But overall, I am very proud of the organization and our ability to keep the projects up and running, despite that we are in the middle of a pandemic. The strategy remains selective bidding, improved commercial focus and increased cost efficiency.  Let's go into Residential Development. Here we can see increased activity in Q3. We have seen increased number of sold homes. Number of started homes has increased. You can see that the revenue increasing and we have a healthy profitability.  We had over SEK 1 billion as operating income for the first nine months and operating margin has been above our target of 10%, 11.2%. The same for return on capital employed. We have a target of 10%. Now we can see on a rolling twelve months basis, 12.1%. So it’s strong volumes in both of sold and started homes and we are maintaining good profitability levels above our targets.  And we can also see in the third quarter that the consumer confidence has improved significantly, which is encouraging, of course. And longer term, of course, we have some uncertainty now also with the second wave of the pandemic and higher unemployment levels is a worry.  But structurally, the underlying need for new residentials is high - very high in our markets. So there is definitely an underlying need and we also have, as you know low interest rates, which helps a lot.  Commercial Property Development then, for the first nine months, we have SEK 2.2 billion in operating income and the gain on sale of SEK 2.6 billion including joint ventures. And so, the return on the capital employed is 10.6%, also above our target of 10%.  Today, we have 39 ongoing projects, which corresponds to SEK 25 billion in investment upon completion. And the occupancy rates and completion rates are pretty much in line with each other. We follow that carefully over time. We have 57% occupancy rate in our ongoing project and 62% completion rates. So I think we are in a good position there.  Nine projects have started year-to-date and we have leased 135,000 square meters and that's lower than last year and we can definitely see that the uncertainty in the leasing market remains. Having said that, we do see that activity picked up somewhat in the late part of Q3.  But overall, a solid property investor appetite for our high quality buildings with the right – with the very ambitious environmental standards as well. So, sustainable, high-quality developments in the right location remains very, very appetite for – amongst investors.  So let's go into the order situation for Construction. We have a book-to-build of 107% and you can also see the development of the backlog here overall, the blue bars here. And you can also see that the order bookings on a rolling twleve months basis are following the revenue, of course, on a rolling twelve month basis, even as we can see a slight decrease in revenue for the course, as I just went through here earlier.  But overall, healthy backlog, if we go into the different geographies, where it's distributed on the next page. Here we go. We can see that, we have a book-to-build of 107%. You can also see the split. If we have 100% in the Nordics, which is on a good level even though we have slightly below 100% in Sweden, but I am not concerned over that.  We have a good pipeline and we are in sort of in the first stage in quite many projects that we will book later on here. Very strong here, of course, in Europe, but you should remember that we booked SEK 14 billion in the second quarter from HS2, the high-speed projects in the UK. But overall, I am confident that we have a very healthy backlog. We have 15 months of production overall, which historically is a good level.  With that, I'll leave it to Magnus to go deeper into the figures, please. 
Magnus Persson : Thank you, Anders. I go to the next page, which is the overview income statement for the Construction business stream then. Starting from the top with revenue, we are down year-to-date 9% in revenue and we have approximately 1% currency effect there. So, if we measure this in local currencies, we are down 8%.  And in the third quarter isolated, we had, in Swedish kronas, a bigger drop, 16%, 11% approximately in local currencies. So the difference is considerably smaller than year-to-date to the third quarter if measured in local currencies here. But the foreign exchange effect is fairly large, I would say and as Anders has already gone through, the drop in revenues here is a combination of earlier production disruptions, clients being more hesitant.  And, of course, us having been selective now in biddings to make sure we only take on the right projects for a period of a couple of years and this sort of comes through in the revenue after a while here. So, these are the effects that we see.  Very gladdening we can see the gross margin increasing year-to-date, 6.4% and if you look at the quarter isolated, we're at 6.9%. And I think this is sort of a sign of strength that we managed to increase the gross margin in during these times as well. So that's really good. And if we look then underlying the performance of the project portfolio, we can see that that is continuing to stabilize and we witnessed that by less swings in performance across the portfolio.  So that's very positive. We see S&A is coming up somewhat to 4.1%, but still this is a very good and competitive level of S&A. And if we go all the way down operating margin, 2.3%, the same as the comparable period, but we have to remember that in the comparable period, we had a positive effect from Norway amounting to SEK 200 million.  So if we take that out, the comparable period would be at approximately 2.1% then. And then, of course, these 2.3% are delivered during times of a pandemic. So, we sort of think this is a good – this is a performance here year-to-date for us.  If we go to the next slide, you see the income statement over the different geographies. You can see that the Nordics are lower in margin here 3.4% compared to the 3.7%. But again, if we adjust for the one-off effect that we had last year, the comparable period would be a 3.2% margin instead. So also here, we continue to improve a bit.  Sweden, 3.1% year-to-date. We have been explaining some of the challenge we had in isolated places in the Swedish construction business before and in the quarter then, we can now see that the Swedish construction operation is delivering 4.4%, which is a good level here and also above the comparable quarter. So that is positive.  Europe is down 0.9% year-to-date and here, we've had, say, fairly large negative impacts from the COVID-19 situation both in the Central European business and in the UK business that impact our costs and also impact the revenue. So these are sort of the main reasons to why you see a drop in the margin here.  Margins from the U.S. improving probably according to expectations, 1.8% compared to 1.3% and in the quarter isolated were 2.2%. A result of a lot of hard work, of course in addressing the challenges we've had there. And we are also on our plan to take care of the dead revenue that we have in the U.S. We're following that plan and the reduction of that dilutive effect that’s going according to plan.  If we move to Residential Development then, we had a significant step-up in volumes, as you can see. We had a 33% increase in volume up to SEK 9.6 billion in the first nine months. Then virtually all of the nominal increase compared to the year-to-date numbers last year was to be seen in the third quarter this year, which was extremely strong.  Overall, it was a strong quarter across all geographies sales-wise. We should also add then what's already been said that we had a major divestment of rental units, multi-family rental units in Sweden that gave us revenues of approximately SEK 1.5 billion. So of course, that's not a size of rental deal that we do all the time.  And I think that's good to point out if you want to understand sort of the underlying movements also. Compared to 2019, we can also see that we have a slightly higher sales price per unit now, also if we were to adjust for the divestment of the large rental package that do attain a slightly lower price per unit than the housing co-ops.  A good margin, 11.2%, no major one-offs year-to-date here. We have an underlying margin that we sometimes comment on that is very close to the reported margin here. So that's of course, positive and a very low S&A level, which, of course is positively impacted then also by the large rental deal.  If we move to the different geographies in Residential Development, we can see again, here, a good performance in development in all geographies, both in Nordics and Europe and Sweden isolated is above 10% year-to-date, which is we think the right level. This is where we should be at the stream level than the 11.2%.  Quarter isolated, we're also at or just above 10%. The exception would be Sweden then. But again, the rental deal is somewhat dilutive in terms of margin here. But of course, it gives us a hefty profit nominally speaking. So that's very positive.  And also, if you go into the details here and the quarterly result, you should be aware of that in this third quarter 2019 we had a major one-off effect in the Residential Development Europe business, where we released a large provision that we did not have to use against risks. So that which distorts the comparison a little bit. But overall, a strong performance here across the geographies in Residential Development.  Move to the next page, which shows started and sold units. You can see we started approximately 2,500 units over the period here, which is a good step-up from the number of starts in the comparable period, where we had a little bit above 1,700 units.  And also in terms of homes sold, we were up to close to 2,900 units here. So both the starts and sales are increasing and of course, that's a positive sign. We said on a couple of occasions that we have an organization that should have a little bit higher volume of ongoing projects than what we've had for a while. So this is very positive.  And also the fact that we - even in a market that has been characterized to some extent by uncertainty over the last six months, we have the strength and we have the balance sheet to still start units, which is definitely something that benefits a large and stable company such as Skanska.  If we move to the next slide, you can see homes in production. We had approximately 6,600 units in production end of third quarter, which is then down from the year end but up from the second quarter, to my – to the point I made on the last slide here about the importance of starting a little bit more here. We had 173 units that were unsold and completed.  Also this is down somewhat, only a little, but still somewhat since the second quarter. So we remain very stable here, which is good. And we remain to – we’d not see any issues with handovers of sold units to clients. We are getting paid and they are accessing their apartments precisely according to plan. So that is, of course, very, very positive here. Then you note a very high sales rate here of 74%.  If we do the adjustment for the rental package that we sold, we are at 6% to 8%, which means that we're very well balanced in terms of how much we have ongoing and of that how much we have sold. So we are able to have units out for sale, which is of course very positive for the possibility to sell.  If we move to Commercial Property Development, the year-to-date numbers are of course, completely dominated by the achievements we made in the first quarter when we sold Solna United. In Q3 isolated, we have made three smaller transactions, all of them in Sweden, nominally, not that big, but good profitability levels with a gain on sale then of approximately SEK 200 million and an EBIT of SEK 100 million.  If we move to the next slide, which shows then unrealized and realized gains in the portfolio. We have unrealized gains in the Commercial Development portfolio of around SEK 8 billion end of quarter, which is then up from 6.7% in the last quarter. So we have managed to sort of increase the potential profits in the portfolio at the same time, as we realize then the SEK 200 million during the quarter here.  The green line is the realized gains on a rolling twelve months basis and you can see that is sloping down then, not so surprising given that we – this is the second quarter in a row where we don't have any major CD transactions. So that's sort of a mathematical consequence of that.  Go to the next slide, it shows you the completion profile across the Commercial Development portfolio. First, to the left, you can see the completed unsold projects, where we have approximately SEK 5.5 billion and then this quarter, we completed projects with a total investment value of around SEK 2 billion.  And we have three properties there. I've commented on this for the last three quarters. These are properties where we are lagging a bit in leasing and, of course, the COVID situation and the uncertainties around tenant demand there has not alleviated. So we are still – they are still lagging here. It's fine properties. We're not concerned about them. But of course, it is taking a bit more time.  If you look at the fourth quarter here, we expect to complete ongoing projects with a total investment of close to SEK 9 billion with a very good occupancy rate in those, 82%. So that's good.  And then we come to the first quarter next year when we expect to complete properties for a little bit above SEK 2 billion also here, with a good occupancy rate then. I think the obvious thing when you look at this and compare it to how it looked a year back or so is that, we are a bit thinner in the portfolio of unsold projects than we have been.  And we have, this year, now started nine projects and we have a very good pipeline of new projects to start in Commercial Development. We just need to get to the position where we feel it's the right time to start them and in some cases, it's a bit lag in permitting. We need to find the right construction costs and we also need to be ready ourselves, so to speak, before we can do that. But as I said, we have a good pipeline here.  If we go to the next slide, which shows you leasing. You can see the orange line is the degree of completion of the ongoing projects and the green line is the occupancy rate in those projects measured in terms of rent and as Anders already pointed out were 62% completion, 57% occupancy rate.  So, these lines are still sort of – they should be fairly close to each other. They still are. Obviously, the last quarter, we saw a bit of a fall in terms of occupancy rate there. It's nothing surprising with that. We all know that leasing is slow at the moment. Tenants are somewhat hesitating. But we are seeing and this is positive, at the end of the third quarter, a slight pickup in activity from tenants.  It's about discussions that were ongoing pre-pandemic that is now coming alive again and it's also about some new leads in terms of discussions with them. And so, I would say this market is not dead, but it's been dormant for a few months here during the pandemic. If you look at the blue bars, you can see the number of leased square meters on a rolling twelve months basis, which you can see is coming down then.  But you also have to recall that our – since our development portfolio and CD is a bit smaller now than say, two years back, the number of square meters that we have out for lease to the market is also smaller, which also have an effect on this.  Now we go to the group income statement. Operating income from the business streams, SEK 5.6 billion – SEK 5.7 billion. Central costs, SEK 340 million, compared to SEK 141 million in the same period last year. But here again, we have a fairly large one-off effect in the comparable period. We had a court case ongoing in Czech Republic against which we had a provision taken. We solved the court case, settled that and could release those provisions in the second quarter of 2019.  The sum in question was SEK 200 million. So if you adjust back for that, you can say central costs are essentially the same this year as it was last year and underlying this, we can also see that costs for our headquarters organization is slightly coming down.  Operating income, SEK 5.272 billion first nine months. Net financial items, minus SEK 177 million compared to minus SEK 69 million. Here, the biggest changes here is that it is harder now than what it was a year back to sort of get a decent return on dollar deposits and also the fact that due to a slightly smaller development portfolio ongoing, we are capitalizing a lower amount of our financial costs against these projects here.  So those two things explain the vast majority of the difference in the net financials here. Taxes, 18%, compared to 17% in the comparable period. Main reason to this difference is the mix of geographies from which we are extracting profit here. These different geographies carry different nominal tax rates.  We move on to the PPP portfolio and as you know, this is a run-off portfolio. We have a number of projects that we are working on completing and after they are completed, we will divest them. But nothing has really happened in this portfolio in the third quarter. The changes you see in the value here is either based on time value and foreign exchange rates. So those two things explain the changes in values.  In total, we have an expected effect in the unrealized equity of SEK 1.7 billion from this portfolio end of third quarter. We look at the cash flow. As Anders has pointed out, we have a very, very strong cash flow in the Group. If you look at the chart on top of this slide, you can see that both the first, second, and third quarters were positive in terms of cash flow.  And of course, on an accumulated basis, you see the green line here showing the rolling twelve months, very strong cash flow here. And we have, during the early days of the pandemic, we were very cautious with investments of course, to make sure that we took the uncertainty seriously. And on top of that, during the spring, we did not distribute any dividend. We have done so now during the fourth quarter.  So, these things together makes up for a very good cash flow and I'd say, this goes from all business streams, both RD, Commercial Development and from the Construction business. If we go to the next slide, shows free working capital in the Construction business. We have a historically high number here.  If we looked at the KPI that we use to track this, 17.4% of working capital over revenue, a very high number. If we look forward a little bit and we see the volumes development that we have now had over the first nine months, of course, that can potentially impact the nominal values of the net working capital position, not at least since we are, as I said, at a historically higher.  Very important for this is large civil jobs. It's a very important type of work that we have to get to this position and we also have a strong pipeline of civil works across the different business units in the Group here. And our assessment as Anders has already mentioned this that, what we see now is that the impact from COVID is more uncertain in the private sector than what it is so far with the public sector.  If we move on to investments and divestments, if you look at the green line in the chart, you can see that we are now and have been for a while fairly deep into divestment, net divestment territory in the Group. And year-to-date, we have investments that is approximately 17% lower than what they were last year at the same time as divestments are over 20% higher than what they were last year. So, of course, this contributes quite a lot to the positive cash flow in the Group there.  And then if we look at capital employed, no major shifts there. We are, by and large, at the same level as we were in - at year-end of 2019 then and somewhat lower than the third quarter of 2019.  If we move to the next slide, we have total external loan portfolio of SEK 4.4 billion. All of them are green. It's a mix of green bonds and green bilateral loans. You can see the maturity profile on the right-hand side there. In total, our available funds, SEK 22.7 billion end of third quarter and of this, we can access SEK 16.6 billion within one week. So we are very well stacked when it comes to liquidity there.  If we move to the next slide, which shows our financial position. Total assets, SEK 128 billion and equity close to SEK 36 billion. Equity-to-assets ratio almost 28%. So we have a super stable balance sheet here, which we are very happy to have in times like these with an interest – adjusted interest-bearing net debt of plus SEK 8 billion. So, maybe it should be better called then net cash.  So very, very stable and this should be compared to then our limit in this metric, which is minus SEK 9 billion. So we have a very sort of ample space for investments to go if we feel that we can find the right assets to go for.  With that, Anders? 
Anders Danielsson : Yes. Let's go into the market outlook starting with Construction. COVID-19 still creates uncertainties, especially in the UK and the U.S. We do see some that had easing up somewhat in the third quarter, but there is still uncertainty how it will develop in the future, of course. We see lower demand from private clients. The public infrastructure investment to stimulate the economy, we expect that to come.  We base that also on our experience from the past. But funding can be uncertain in this time. On the Residential Development, we have recovered. So we increased our market outlook here in the third quarter in the Nordics. So we have seen strong recovery in consumer confidence in the Nordic countries.  And there are also limited number of new developments. So there is an opportunity for us to start projects. We can do that. And on a longer term, there is, of course a balance here with rising unemployment and some uncertainty in the economic development. But we do have low interest rates and we also have a structural shortage of homes.  On the Commercial Development, we keep our market outlook as a weak market going forward. The tenants are hesitant, and the investors on the other hand has a strong appetite for our projects. It's low interest rate and the stable credit markets which is really helpful.  So to summarize the Group here before we go into the Q&A. Overall, solid performance, improvements. We have a very strong financial position. The market uncertainty is still present, but reduced in the third quarter. Long-term focus remains financially to improve the profitability in Construction. We are doing that by being more selective, decrease risks in the portfolio and also cost - look at the costs and improve the commercial management in the organization.  We have taken great steps forward there. And all of this together make us - makes the profitability improve quarter-by-quarter. And we also want to long-term grow the project - the developments. Our ambition is to be the leading residential developer in our home markets and we are also looking at responsible expansion of Commercial Property Development and you could recently see that we started our first project in the fifth city in the U.S. in Los Angeles. So that is promising.  With that, I'll leave it back to Andre to start the Q&A. 
Andre Lofgren : Yes. Thank you very much, guys. Yes, let's open up for questions. So, please follow the instructions from the operator. 
Operator: [Operator Instructions] Our first question comes from Tobias Kaj from ABG. Please go ahead. 
Tobias Kaj: I would like to start regarding your – to ask regarding your Construction margin. After the Q2 call, you guided for continued negative impacts from COVID into Q3. But now you report an improved margin year-over-year. Does that mean that you didn't see any negative impacts? Or can you give some more color on that? 
Anders Danielsson: Yes. Hi, Tobias. Yes, what we saw in the third quarter was that we were able to come back to our projects and keep them up and running. We were able to keep our people safe at the same time. So, that's the main reason and we also saw in the third quarter that the strategic action we took a couple of years back, they are paying off now. And we can see that – we have seen that before the pandemic and we can also see it in Q3.  We also learned, I would say, in Q3 to I mean, to live – we are in the middle of a pandemic, but we have found ways to handle that, to keep the social distancing in our project; to use other protection if needed out in the projects. And that's really well done by the organization and contributing a lot of course, to this improved margin. 
Tobias Kaj : And the exception from improved margin is Europe or the rest of Europe, where the margin is clearly lower also in the third quarter, compared to last year. Is that related to COVID? Or is it’s something else that limits the margin development there? 
Anders Danielsson : It's both connected to COVID both Central Europe and U.K. as been impacted quite a lot from the COVID and that continus in Q3 as well. But we also saw that reduced revenue due to market conditions and uncertainties in the UK due to both COVID and Brexit. So you see that the private clients are hesitating to start new projects. 
Tobias Kaj : And for Q4, do you expect an increased negative impact given that we see more new restrictions now? 
Anders Danielsson : We don't give any forecast for Q4, but you can look at our market outlook, where we have seen that – we expect the market to be weak in the commercial building, non-residential building. We expect the civil market to be stable, more stable. So that's our outlook for the coming twelve months. And we – but we are in a good position when it comes to the backlog. So I am confident with that. 
Tobias Kaj : Okay. Thank you. I have a couple of questions regarding your development streams as well. And regarding Commercial Development, I think you started nine projects year-to-date. Can you say something about the volume or the amount of volume to be invested in those projects? And how that stands compared to the same period last year? 
Magnus Persson: Hi, Tobias, this is Magnus here. No, I mean, there is nothing in that – nothing in those starts that sort of sticks out of what we will consider to be ordinary type of mix of projects here. And you also – when we start projects, we release so you can look at that also. But there is nothing in particular that sort of sticks out there in terms of size or for that matter, geographical distribution. 
Tobias Kaj : Okay. And in CD, you have a huge project in Seattle, which is more or less completed. I think tenants have started to move in, and I think it's more or less fully let. And can you say something about the divestment process of that building? 
Magnus Persson : No, we don't comment on divestment processes, but when and if we sell that project, we will communicate then
Tobias Kaj : But is it likely that it will be in Q4 already or? 
Magnus Persson : You will have to wait until we communicate. 
Tobias Kaj : Okay. Thank you. One final question regarding Residential Development. You had very high numbers, both in terms of units started and units sold and we know it's very lumpy between the individual quarters. Does the high number in Q3 indicate that you will see a much lower volume in Q4? Or do you think that the strong market enable you to keep up a good volume also for the fourth quarter? 
Anders Danielsson : Yes, so we saw a large increase, but we also communicated that we sold a package of rental apartment in the quarter of SEK 1.5 billion. But we – even without that, we saw a large increase in Q3, definitely. We don't comment on Q4, but we can see our outlook - market outlook is stable going forward. So we have increased the market outlook from weak to stable in the Nordics.
Tobias Kaj : Okay. Thank you for taking my questions.
Operator: Our next question comes from Stefan Andersson from SEB. Please go ahead. 
Stefan Andersson : Thank you. Yes, I'll follow-up on some of Tobias's questions. Going to Construction first, if you could maybe help us a little bit further there. I mean, you started the year with the first quarter being slightly up, but then the COVID came and you had a 5% drop in sales. And then, COVID has been there slightly in Q3 and you have new issues with postponements, you mentioned and sales are down slightly more year-on-year in the third quarter.  I know you love to talk about nine months, but it's a little bit lumpy. I am just trying to understand what's happening here. Could you maybe elaborate on the split of decline in the third quarter roughly? How much is COVID and then you not having access to sites and how much is postponements?  And then, connected to that, on the postponements, what kind of delay are we talking about? Is it a risk for reversed orders that we'll see negative orders? Or is it just the three months when it comes to postponement? 
Magnus Persson : Hi Stefan, this is Magnus. Thank you for your question. See if I catch them all, otherwise, you will have to remind me. But if we start backwards here, why do we say that there are postponements. What type of postponements. Well, typically, you can have a situation where a client has selected us to do work, what we call selection.  And then you work with the client to define the project and set up a budget. But of course, you need to agree on final terms before we are awarded actual construction contract. In situations like that, due to either budgetary constraints or it can be a sort of overall uncertainty, we see in some cases that these awards are slipping in time.  We are still working with the project. We have the relationship with the client, but the client isn't sort of actually stepping into binding construction contract. So that is a typical type of slippage that we can see. Then you asked about the – I am not sure I got you completely, but the lumpiness of the Construction performance over the first, second ,and third quarter. Did I get that right? 
Stefan Andersson : I mean, yes. I just fully understand that COVID had a big impact in Q2 and just wondering - looking at Q3, it's the decline we see there is like, is it equally much from COVID and the postponements? That's really my question. 
Magnus Persson: Yes. Okay. I think in terms of the dynamics, if you will, of these impacts, I think they were from sort of pure COVID, I think that was more in the beginning, because there was a higher overall uncertainty. And as Anders has also explained there, we were also working very, very hard to find new work methods to adapt to distancing requirements and workarounds on sites and so on to make sure that we can keep production up, so, there you had one type of impact from COVID.  And then of course, a little bit later, it becomes more – less sort of that type of disturbances. I'd say we have adapted very well in our operations and are able to handle that in a very good way, both from a production perspective, but also from a safety perspective now. So, the further time goes, the more impact is more from, I'd say, postponements and certain delays there in terms of volume
Stefan Andersson : And then, on the risk for reverse orders, I guess, looking at, for instance, the hotel side, it could be a risk that people would like to get – trying to get out of such discussions with you. I mean, do you see anything like that in your order backlog? 
Anders Danielsson : No. We have, Anders here. We have not seen any cancellation in our order backlog. It's more that the private client, commercial client, they are postponing the start of the projects. If we are in stage 1, some of them postpone the start of the big contracts. 
Stefan Andersson : And sorry for repeating that one, but is that – would that be postponement until further – until a new decision coming or is it just like a month delay in the whole system, generally? 
Anders Danielsson : I would say, so far, it's more a postponement of the start of the project. 
Stefan Andersson : Okay. Meaning, then that you don't know the starting point, so to speak. Is that correctly understood from you? 
Anders Danielsson : Yes. In some projects, we don't know when the clients choose to decide on the start. But on the other hand, we don't book them until they do take the decision. 
Stefan Andersson : Okay. Then just a question on the CD side there, if you could maybe – I fully understand you can't tell us when you close a deal, I mean, we’ll have to wait to see that. But you haven't really sold anything in three quarters now or in the third quarter without any divestments from your backlog or portfolio. I mean, this time it's more stuff you are going to build.  So, what is the main resistance or the reason for not closing any deals in your view? I mean, rates are good. There is a transaction market at least unless it's hotels and retail space. So, where do you see the slowness in discussions? What is the main reason? 
Anders Danielsson : We don't see any slower interest from investors. It's – you cannot look at a single quarter either. So, we have a good portfolio and – going forward. So – but we will let you know as soon as we divest future projects, of course. 
Stefan Andersson : Okay. Thank you. That’s all from me. 
Operator: Thank you. Our next question comes from Simen Mortensen. Please go ahead. 
Simen Mortensen: Hi gentlemen and congratulations on solid results. I have a few questions. In terms of the sales in RD, Residential Development, I know especially the sales of homes in Sweden to be extraordinarily good, 1,116 homes in the quarter. I was just wondering also, does that number include the investor deals of SEK 1.5 billion? And if so, how many of those units are part of that deal? 
Magnus Persson : Hi Simen, this is Magnus. Yes, it includes 600 units. 
Simen Mortensen : Okay. Thank you for that clarification. Also, in Construction, you highlighted that there is some delays and decisions by clients to postpone ramp up of new projects. Covering construction over time, I usually notice that margins in construction projects are the lowest in the beginning of the projects. And thus having a lower margin.  How has this affected or has this affected your margins in Q3, because you don't have any that much projects in the early phase of construction, especially then in the U.S. and Europe? Has that been part of the effects, which we see in the margin this quarter? 
Magnus Persson : Simen, this is Magnus again. I think you make a good question and of course, we are – this is one the things that we set out to make sure we have sort of a well-valued portfolio of Construction projects. And that means that in the beginning of the project, risks are higher because you have more risks sort of to close out on over the lifetime of a project and then at the latter part of the project's life when you have passed more risks, then we extract, sort of, relatively speaking, higher margin from that project.  And of course, as volumes are decreasing, on the average, we get a more mature portfolio. So, that is very likely, it has some sort of upwards effect on that. I wouldn't say that it's a big one, but theoretically, you're right. 
Simen Mortensen : Okay. Thank you. In terms of your working capital, you touched upon that being very high at the record levels, 17.4%. Just wondering if you can help us there with like how fast might things actually change here, because we've seen the dip in the revenues already. And what will be the drivers for that to come perhaps a bit more, like what you stated, a normalized level between 13% and 15%? 
Magnus Persson : This is Magnus again. Also, it's a good question. As we have said on a number of occasions, we think it's hard to say what the normalized level is for this, if you go sort of bottom up. But looking historically, we have been able to circle around 13% and now we are 17.4%. So of course, we should be cautious in assuming that this 17% is sort of something we can achieve also in the future.  But in terms of the dynamics, of course, there are a number of projects that are large and typically, it can be a fixed price project, for instance, certain types of projects that is very positive for the net working capital position. So it depends a little bit on what projects we win and what are the clients and so on. So we set ourselves up in the right way to get to this position.  That volumes fall doesn't automatically mean that net working capital comes down, because it depends on what type of volumes are running out of the portfolio and what type of projects are replacing this with also. But of course, if you make an average of the portfolio over time, lower volume will equate to a lower net working capital position. 
Simen Mortensen : Okay. And my last question, it comes in terms of Commercial Development, you said – in Construction Development, you stated that largely the clients are more hesitant to start up new projects. You also talk about more uncertainty in the rental market. And how is that impacting, especially perhaps divided into Euro, U.S. and Nordic, your ambitions and plans to start new developments going forwards, especially then euro and U.S.? 
Anders Danielsson : Yes. We definitely have ambition to start new projects and we do have a strong pipeline. And we can see that the activity amongst the tenants are – have increased during later part of Q3. Having said that, we also – so, we can start on speculation if we think it's right and we have seen some examples here during Q3 of that.  We are focusing – we are going to focus on our market definitely, the Nordic markets, where we have a strong position and strong pipeline, Central Europe and also U.S. So I mean, it's encouraging that we have been able to start a new city in the U.S. during the third quarter. We have been on ground for some time, and now we got a really good opportunity to start the first project in Beverly Hills, Los Angeles. 
Simen Mortensen : Yes. And I understood – that was part of my question, how willing are you to do speculation development and how much will that actually be? And secondly, was like that in L.A. a speculative building or do you have any rental agreement signed? Just to give us coloring of where you are in the investment cycle of your risk you are taking up. 
Magnus Persson : Yes. I mean, we of course, not at all opposed to starting projects on speculation now. But it's very, very important that we select the right projects. We do experience and see sort of a flight to quality, which we expect to continue. I have to recall that the properties we develop, I mean, they are brand new, they are environmentally certified to a very high degree, there is a high efficiency and if we can combine that with the right location, we are sort of, on a selective basis, not afraid to take on that type of speculative risks here. Yes. 
Simen Mortensen : Okay. Thank you for taking my questions and congratulations on solid figures.
Magnus Persson : Thank you. 
Anders Danielsson : Thank you. 
Operator: Our next question comes from Erik Granström from Carnegie. Please go ahead. 
Erik Granström: Thank you very much. Good morning everyone. I had a few questions, as well and if we can start perhaps with the Construction operations, Sweden bounced back strongly in terms of profitability here in Q3 versus Q2. In Q2, you talked a little about the issues that you had within Residential in Stockholm, as well as industry. That doesn't seem to be the case anymore. Is that the way that I should read it? Or - and is this sort of a level that we should expect you to be back on? 
Anders Danielsson : Yes, we – what we saw in the third quarter now that those issues we had with – in the Construction stream here in Sweden, those have stabilized. But it will impact us for some time, because we have some dead revenue that we need to work out and we – and that was the same for Q3 as well. So it did impact us, but those units has stabilized. 
Erik Granström : Okay. Good. And a similar question regarding the U.S. operations, you mentioned in Q2 that part of the reason why profitability improved was mainly within building construction. Is that the case in Q3 as well or do you see some improvement within civil as well? 
Anders Danielsson : We see improvements both in U.S. building and U.S. civil in the third quarter. 
Erik Granström : Okay. And cash flow was again strong and it has been strong throughout the year. And – but at the same time, you are obviously investing significantly less within CD. But should we expect this sort of trend of lower investment volumes to continue into next year or next year going to be lower versus 2020? 
Magnus Persson : Hi, Erik, this is Magnus. Neither do I want to give you a forecast and I don't want to portray that I sort of fully know either, because we have market uncertainties and so on with that. But I can tell you clearly that we have a very good pipeline of CD projects and that our ambition is to continue to grow the Commercial Development business stream.  We will do what we can to make sure that that happens, but we will only start projects where we feel comfortable with the risks and that we can get the return that we should have given the market circumstances. 
Erik Granström : Okay. And on that, I believe you used the term to describe your balance sheet super stable. I would probably describe it as super strong and what are your intentions with this sort of balance sheet? Because you are on an adjusted net cash of SEK 8 billion at the end of Q3, I assume Q4 is seasonally strong as well if we adjust for the dividend that is coming or that has already been paid.  What are your sort of intentions of the balance sheet? Are you going to maintain this kind of strength on the balance sheet? Or do you expect this to change over the next couple of years? 
Magnus Persson : Well, two things. One is that, we don't think that the uncertainties are out of the room yet. We still have an ongoing pandemic and it's the interest of everyone to make sure that Skanska is a strong or stable company, if you will. So that is one of the reasons to why we have this cash position now. Then the other one is, of course, that, as I already said, our intention is not to sit on sort of too much cash long-term. Our intention is to invest this. So, I think that sums up the answer and also the situation on that. 
Erik Granström : Okay. Fair enough. And then I have two more questions and they both relate to RD. The first question is, the deal that you made with Folksam, you mentioned that it was somewhat dilutive in Q3. Could you perhaps say something about what the underlying margin in Q3 for Sweden would have been? 
Magnus Persson : No. We don't comment that on a unit-by-unit basis. But you can say it's not a big effect, but it has somewhat of an effect. 
Erik Granström : Okay. Thank you. Fair enough. And then finally, my question on RD relates to your pace in terms of number of starts. It seems almost like you are anticipating to ramp up production a little bit more. Is that correct? 
Anders Danielsson : Yes. If you look at the sales rate, it’s pretty high right now. So we do have the ambition to – we have the ability to start more and more projects as well and we can see the trend that we talked about earlier that our client, our customers buy at the later stage of the project means that we need to start project with a lower sales rate and we will do that. And we have – our position is really good to be able to do that as well. 
Erik Granström : Okay. And a follow-up on that then, should we expect that as you increase production and your ongoing production portfolio increases that you have better cost absorption in general due to that and the profitability should trend upwards rather than anything else or are you at sort of a capacity level where you can increase production without affecting cost at all? 
Anders Danielsson : Yes. Definitely, we – of course, we prioritize our own development projects. That goes for both the Commercial Development and Residential Development, because it's better for the whole company. So, we do have the resources for that definitely. And we – our margin targets remains. On the Residential Development, it's 10% operating margin, 10% return on capital employed. So that remains going forward. 
Erik Granström : Okay. But the fact that if you increase production and actually get the units sold, that shouldn't have a negative impact at least on your profitability. 
Anders Danielsson : No, I don't see that. I don't see that. 
Erik Granström : Okay. Thank you very much. Those are my questions. 
Magnus Persson : Thank you. 
Operator: Thank you. Our next question comes from Anastasia Solonitsyna. Please go ahead. 
Anastasia Solonitsyna: Hello. Thank you for the presentation. I've got a few questions please. Firstly, on Commercial. Can you give us some more regional color on how yields are developing across the regions and maybe some adjacent markets? And do you think you are ready to reconsider prices based on margins in case you don't see a turnaround in commercial activity in near-term? This is the first question.  And the second question is on Residential, you mentioned previously that capacity of units you can deliver is about 4,000 units per annum. With regard to the development of the markets, when do you think you can get to this level, over what time? Yes, so that's really it. And one more question on dead revenues in the U.S., what amount left to work through? And what the remaining impact on margins could be? If you can quantify it. Will it now be fully settled next year? 
Magnus Persson : Hi, Anastasia, it was a little bit difficult to catch your questions from over here. Maybe if you can repeat and start on with your questions on Commercial Development? 
Anastasia Solonitsyna : So on Commercial Development, question on yields in regions as you see it, yes. 
Magnus Persson : Okay. Yes, we don't see a major yield impact from the COVID-19 pandemic here and the market uncertainties. So it's a very different impact, I would say, on the tenant market versus sort of leasing market versus the investor market. We see a solid interest for our properties across the geographies where we are active.  And that the transactions that we see do not differ materially yield-wise now compared to, say, nine months back pre-COVID. And that's, of course, very positive. And yes, so, we take a bit comfort in that. It's good to see that we still have that investor interest. And then, you had a question on Residential Development, also here, it was a bit difficult to catch you. 
Anastasia Solonitsyna : Sure. I will repeat. So, you mentioned previously the capacity you have of around 4,000 units to deliver per annum. With the current market developments, when do you think you can get to this level? Or over what period of time? 
Magnus Persson : Yes. I mean, we can't guide in that, obviously. That's – we don't provide any guidance. But as Anders has already outlined, we have an organizational capacity that is – it can take higher volumes than what we are now – than what we now have under production. And that is really the organizational constraint we have, so to speak, that is how many units can we have on the production at any given point in time.  And here, we think we should be a bit higher than what we are now. Then, when that lead to what numbers in terms of sales, that's – yes, I am not going to give you a forecast for that. 
Anastasia Solonitsyna : Okay. Fine. And on dead revenues in the U.S., if you can somehow, like, give us some – how to quantify it and will it fully be settled next year? Thanks.
Magnus Persson : So, are you referring to the Construction operations in the U.S.? 
Anastasia Solonitsyna : Yes. 
Magnus Persson : Our revenue – dead revenue development in the U.S, well, essentially, we are following our plan as we laid it out in the Capital Markets Day that we had in 2019, more or less to the letter. So, I think the best way for you to get an insight into the profile of the sort of burn of that dead revenue is to go into that presentation where we also have some more details on that. But we will not be done next year. We will still have some left after that also. 
Anastasia Solonitsyna : Okay. Thank you 
Magnus Persson : Sure. 
Operator: Thank you. Our next question comes from Marcin Wojtal of Bank of America. Please go ahead. 
Marcin Wojtal: Yes. Good morning. Thank you for taking my question. And it's actually on your dividends. So, when you declare a dividend for financial year 2020, should it be with a payout ratio of between 40% and 70%, which has been the dividend policy in previous years? 
Anders Danielsson : We – as you know, it is a Board decision and the Board usually takes that decision after the yearend report. But we haven't changed our dividend policy. That remains between 40% and 70%. 
Marcin Wojtal : Okay. Very good. And one question on Commercial Development if I may. So you mentioned that unrealized capital gains in the quarter, they increased to SEK 8 billion. And is it just because of you starting new projects? Or have you actually adjusted valuations of some of the completed or ongoing projects up or down in the quarter? 
Magnus Persson : Hi, Marcin, this is Magnus. No, there is no such adjustments. It's because of new starts. 
Marcin Wojtal : Okay. Well, thank you very much. 
Magnus Persson : Sure. 
Operator: Thank you. There appears to be no further questions. So I'll hand back to the speakers for any further remarks. 
Anders Danielsson : Great. Thank you, and thanks for listening in and good discussions. Well, I guess, we have to wish you a good rest of the day and stay safe out there. Thank you.